Operator: Greetings, and welcome to the CVR Partners LP Third Quarter 2023 Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Richard Roberts, Director of FP&A and IR. Thank you, Mr. Roberts. You may begin.
Richard Roberts: Thank you, Camila. Good morning, everyone. We appreciate your participation in today's call. With me today are Mark Pytosh, our Chief Executive Officer; Dane Neumann, our Chief Financial Officer; and other members of management. Prior to discussing our 2023 third quarter results, let me remind you that this conference call may contain forward-looking statements, as that term is defined under Federal Securities Laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise, except to the extent required by law. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures, are included in our 2023 third quarter earnings release that we filed with the SEC for the period. Let me also remind you that we are a variable distribution MLP. We will review our previously established reserves, current cash usage, evaluate future anticipated cash needs and may reserve amounts for other future cash needs as determined by our General Partner's Board. As a result, our distributions, if any, will vary from quarter-to-quarter due to several factors, including, but not limited to, operating performance, fluctuations in the prices received for finished products, capital expenditures and cash reserves deemed necessary or appropriate by the Board of Directors of our General Partner. With that said, I'll turn the call over to Mark Pytosh, our Chief Executive Officer. Mark?
Mark Pytosh: Thank you, Richard. Good morning, everyone, and thank you for joining us for today's call. The summarized financial highlights for the third quarter 2023 include net sales of $131 million, net income of $1 million, EBITDA of $32 million, and the Board of Directors declared a third quarter distribution of $1.55 per common unit, which will be paid on November 20th to unitholders of record at the close of the market on November 13th. Our facilities continued to run well during the third quarter of 2023 with consolidated ammonia plant utilization at 99%. Combined ammonia production for the third quarter 2023 was 217,000 gross tons of which 68,000 net tons were available for sale and UAN production was 358,000 tons. During the quarter, we sold approximately 387,000 tons of UAN, at an average price of $223 per ton and approximately 62,000 tons of ammonia at an average price of $365 per ton. Relative to the third quarter of 2022, UAN and ammonia sales volumes were higher as a result of both facilities completing planned turnarounds in the third quarter of 2022. Prices for the third quarter declined from the third quarter of last year with ammonia prices falling 56% and UAN prices falling 48%. Following the reset of nitrogen fertilizer prices in July, prices steadily rose throughout the summer driven by combination of strong demand and reduced supply as a result of planned and unplanned outages across the industry. Looking ahead, we believe market conditions have firmed for the fourth quarter and we are optimistic about nitrogen fertilizer demand for 2024, which I will discuss in my closing remarks, I will now turn the call over to Dane to discuss our financial results.
Dane Neumann: Thank you, Mark. For the third quarter of 2023, we reported net sales of $131 million and operating income of $8 million. Net income for the quarter was $1 million or $0.07 per common unit and EBITDA was $32 million. Relative to the third quarter of 2022, the increase in EBITDA was primarily due to higher production and sales volumes and lower operating expenses, as both facilities completed planned turnarounds in the prior year period. Direct operating expenses for the third quarter of 2023 were $58 million. Excluding inventory impacts, direct operating expenses decreased by approximately $38 million relative to the third quarter of 2022, primarily driven by a combination of lower turnaround and repair and maintenance expenses, along with reduced stock-based compensation expense. During the third quarter of 2023, we spent $8 million on capital projects, which was primarily maintenance capital. We estimate total capital spending for 2023 to be approximately $29 million to $32 million, of which $26 million to $28 million is expected to be maintenance capital. During the third quarter we amended our ABL credit facility to increase the maximum availability from $35 million to $50 million and extended the maturity from 2024 to 2028. We ended the quarter with total liquidity of $137 million, which consisted of $89 million in cash and availability under the ABL facility of $48 million. Within our cash balance of $89 million, we had $30 million related to customer prepayments for the future delivery of product. In assessing our cash available for distribution, we generated EBITDA of $32 million and had net cash needs of $16 million for interest costs, maintenance CapEx and other reserves. Within that total is a release of $8 million from the reserve taken in the second quarter of 2023 for expected working capital needs, along with $6 million of reserves for future turnarounds and planned capital projects. As a result, there was $16 million of cash available for distribution and the Board of Directors of our General Partner declared a distribution of $1.55 per common unit. The remainder of the working capital reserve taken in the second quarter of 2023 may be released in the future if determined by the Board. Looking ahead to the fourth quarter of 2023, we estimate our ammonia utilization rate to be between 90% and 95%. We expect direct operating expenses, excluding inventory impacts to be between $55 million and $60 million and total capital spending to be between $10 million and $15 million. With that, I will turn the call back over to Mark.
Mark Pytosh: Thanks. Dane, In summary, we were pleased with our third quarter results. We had another quarter of strong production from our facilities and we navigated the resetting of the nitrogen fertilizer market this summer. We believe market conditions are firming and we are well-positioned for the fourth quarter and 2024. With harvest nearly complete and weather conditions being favorable, fall ammonia application began last week, a little earlier than normal. Weather permitting over the next month, we expect a strong fall ammonia application season this year and have a good book of orders. Overall grain market conditions remained steady and bode well for nitrogen fertilizer demand for 2024. Current USDA estimates indicate 95 million acres of corn were planted in the spring of 2023, a 7% increase compared to 89 million acres in 2022. Planted soybean acres are estimated to be 84 million in 2023, down 5% from 2022 levels of 88 million. With the drought conditions during the spring in the Midwest, yield estimates were reduced to 173 bushels per acre for corn and 50 bushels per acre for soybeans. The USDA is now projecting grain inventory carryout levels to be approximately 15% for corn at 5% for soybeans, resulting in inventories near the 10-year average for corn and at the low end of the range for soybeans. Grain prices have remained steady with December corn at $4.80 per bushel and November soybeans at nearly $13 per bushel. These grain prices coupled with the lower reset fertilizer prices support attractive farmer economics, which should bode well for nitrogen fertilizer demand for 2024. We believe that the length of this upward cycle -- demand cycle will in large part be driven by grain prices staying at elevated levels, and we see fundamentals for grains remaining steady. Since July, production of nitrogen fertilizer has experienced a combination of unplanned production outages, a heavy plant turnaround schedule and natural gas availability issues in several geographies. These supply issues coupled with steady demand from customers to replenish inventories depleted in the spring have tightened supply-demand balances and have led to a significant firming of prices in the market. As I mentioned on the last earnings call, customer purchasing patterns have evolved to more ratable purchasing due to higher carrying cost over the past year from higher interest rates. We think this buying pattern matches well with our production schedule. Geopolitical risks continue to represent a wildcard for the nitrogen fertilizer industry with meaningful fertilizer production capacity residing in countries across the Middle East and North Africa. As we enter the fourth quarter, the current fourth quarter price for TTF Natural Gas has been in the range of $12 to $18 per MMBtu, which should drive Europe back to the high end of the global nitrogen production cost curve. Natural gas prices in the U.S. have been in the range of $3 to $3.50 per MMBtu in October, placing the U.S. at the low end of the global cost curve. Europe has been importing some ammonia and we expect this to continue in the coming months. We do not believe that the structural natural gas market issues in Europe have been resolved and will likely remain in effect over the next two to three years. On our decarbonization efforts, we continue to make progress on the installation of a nitrous oxide abatement unit, and the number one acid plant at the Coffeyville facility and expect that project to be completed by 2025. We also continue to explore various CO2 sequestration opportunities for the East Dubuque facility which if approved, could reduce its carbon footprint over the next several years. Two of the major CO2 pipeline projects in the Upper Midwest have faced opposition and one project sponsored by Navigator and Valero has been canceled. Ultimately, we believe these hurdles will lead to a longer development schedule. We've not made commitments to any projects at this point, but we will continue to monitor their progress. We also continue to pursue the certification of production at Coffeyville as blue ammonia and UAN and have received customer interest in low carbon nitrogen fertilizer. We continue to evaluate brownfield development projects at both of the production facilities that could be attractive targeted capacity increases to our existing footprint. The Board elected to continue reserving capital that we expect to spend over the next two to three years to progress these potential projects. The third quarter continued to demonstrate the benefits of focusing on reliability and performance. In the quarter, we executed on all the critical elements of our business plan, which include safely and reliably operating our plants with a keen focus on the health and safety of our employees, contractors, and communities, prudently managing cost, being judicious with capital but targeting select investments in reliability projects and incremental additions to production capacity, maximizing our marketing and logistics capabilities and targeting opportunities to reduce our carbon footprint. In closing, I'd like to thank our employees for their excellent execution, achieving 99% ammonia utilization and solid delivery on our marketing and logistics plants, resulting in a distribution of $1.55 per common unit for the third quarter and over $16 declared year-to-date. With that, we're ready to answer questions, Camilla.
Operator: [Operator Instructions] Our first question comes from the line of Rob McGuire with Granite Research. Please proceed with your question.
Rob McGuire: Good morning, Mark, Dane, and Richard. Thank you for taking my questions.
Richard Roberts: Good morning, Rob.
Rob McGuire: Hi. The strike at East Dubuque, is there any color that you can provide us around the strike? You know, have there been strikes in the past? If so, was it a prolonged strike and is that impacting your utilization or do you anticipate that impacting your utilization in the fourth quarter?
Mark Pytosh: Yes, yes. Rob, we -- the strike started about two weeks ago with the local union there. We've been bargaining in good faith and expect to continue to do so, but we don't expect any disruption in the operations, any change in utilization. Based on that we were fully manned and we expect to run safely and reliably on a continuous basis 24/7.
Rob McGuire: Yes. I noticed that your targeted East Dubuque ammonia utilization for the fourth quarter is 85% to 90% and in the past quarter you -- across the board, you put up I think 99%. Is that -- is the fourth quarter in line with the last quarter or is that a little lower? And, are there other issues there that could be impacting utilization?
Mark Pytosh: Yes, it's not -- it's unrelated to the strike. We had a mechanical issue right at the end of the third quarter and that carried into October, that we completed a repair a few weeks ago and so that's why we lowered our forecast for the utilization. It's not related to the strike.
Rob McGuire: Okay, I appreciate that. Thank you. And then, last quarter you talked about how customers were only advanced purchasing by, say, two to three months versus the normal four to six months. Does that buying pattern persist throughout all of the third quarter and is it currently occurring in the fourth quarter as well?
Mark Pytosh: Yes, it's been -- it's really been pretty consistently -- they were buying two to three months at a time. I would tell you that we do expect the prepay season to be normal, which is typically towards the end of the calendar year. There would be prepay purchasing for the spring, particularly for ammonia application. So we do expect that to be consistent with past practice. But I would say generally, you know, the customers are more ratably buying. They're not carrying as much inventory for lengthy periods of time.
Rob McGuire: Is that -- what do you think is causing that?
Mark Pytosh: Cost of -- basically cost of money is probably double digits for a retailer or a farmer. And so to carry fertilizer, if you bought it in July, carried it to April. If you're at a 10% or 12% cost of money, you know, that's a pretty expensive carry for nine months. So that's -- I would say that that's the biggest driver.
Rob McGuire: Got it. And can you give us an idea of how much fourth quarter production has been sold so far? And -- you mentioned spring sales, have any spring sales begun at this point?
Mark Pytosh: So first on the fourth quarter, we're largely sold through the fourth quarter at this point, I don't want to say exactly where we are. But we're in good hands for the fourth quarter and we have made some sales into the -- to the first quarter or spring and so, we have a window on kind of what spring is beginning to look like.
Rob McGuire: All right. And then I won't hold you to this, but do you have an opinion Mark, on where ammonia and UAN pricing will end up in the fourth quarter relative to the third quarter?
Mark Pytosh: We don't -- we don't give that kind of information. So I don't want to put it out there. You know, if you listen to the first part of my comments, we've had a nice lift in both ammonia and UAN since July [technical difficulty] reset in the marketplace and that, you know, we do see that carrying into '24. And so there has been a significant increase. If you look at the publications, you can kind of see where fertilizer prices are today and that's kind of where the market is. And again, that's the pricing that carried late into -- later in the fourth quarter and into the -- into the 2024 season.
Rob McGuire: That's fair. Thank you. And just lastly, you've built up a healthy reserves for maintenance CapEx. Can you discuss, what's led to that buildup and will it continue?
Mark Pytosh: Yes. So we have several projects that we're pursuing and we're continuing to do work and we're reserving for -- these are the combination of reliability and expansion projects and will continue to reserve as you could see probably from earlier this year till now, we've kind of lowered that quarterly carry on that or the amount we're reserving. But it will all depend on kind of the outcome of those projects. So if we reach a conclusion that we're not going move forward with one or more of the projects and we will either stop reserving or, you know, will probably let that reserve loose, but right now we have several promising projects that we're reserving for specifically that we think are going to make sense for the plants longer term.
Rob McGuire: Okay, I appreciate that. I know I said last question but I've got one other. Just any thoughts on Russian imports of UAN and how that's impacting the margin here in the States?
Mark Pytosh: You know, if you go all the way back last year to the beginning, we had a disruption -- the flow of Russian UAN here, but that only lasted till the summer of '22 and we've -- largely the markets sort of normalized since the summer of '22. We haven't seen any changes in the marketplace there for Russian UAN. It's been sort of steady and consistent and it was only really disrupted in the first six months of the war that broke out in the Ukraine, but it's kind of reverted back to normal. I'd say at this point, it's been that way for over like a year -- almost a year and a half now.
Rob McGuire: Well, I appreciate the answers. Thank you so much.
Mark Pytosh: Thank you, Rob.
Operator: Thank you. We have reached the end of our question-and-answer session. And now I'd like to turn the floor back over to management for any closing comments.
Mark Pytosh: Well, again, I want to thank everyone for joining the call this morning and we look forward to reviewing our fourth quarter results in February. Thank you very much.
Operator: Thank you. This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.